Operator: Good day ladies and gentlemen, and welcome to the Q1 2016 Laboratory Corporation of America Holdings Earnings Conference Call. At time all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I will now turn the conference over to Mr. Paul Surdez, Vice President of Investor Relations. Please go ahead, sir.
Paul Surdez: Good morning, and welcome to LabCorp's first quarter 2016 conference call. As detailed in today's press release, there will be a replay of this conference call available via telephone and Internet. With me today are Dave King, Chairman and Chief Executive Officer; Glenn Eisenberg, Executive Vice President and Chief Financial Officer; and Deborah Keller, CEO of Covance Drug Development. In addition to our press release, we also filed a Form 8-K this morning that includes additional financial information. Both are available on the Investor Relations section of our Web site at www.labcorp.com and include a reconciliation of non-GAAP financial measures discussed during today's call to GAAP. Finally, we're making forward-looking statements during today's call. These forward-looking statements include, among others, statements about our expected financial results, the implementation of our business strategy and the ongoing benefits from acquisitions. These statements are based upon current expectations and are subject to change based upon various factors that could affect our financial results. Some of these factors are set forth in our 2015 10-K. We have no obligation to provide any updates to these forward-looking statements even if our expectations change. Now, I'll turn the call over to Dave King.
Dave King: Thank you, Paul and good morning. We had an impressive quarter in which we continued to demonstrate the power of our transformed company through our operating performance and progress on key strategic priorities. First quarter pro forma revenue growth was nearly 9% with strong organic growth in both LabCorp Diagnostics and Covance Drug Development. This growth coupled with reengineering our business process through project launch pad and capturing additional cost synergies from the Covance acquisition drove another quarter of margin expansion and double-digit adjusted EPS growth. Our excellent first quarter operational performance and business momentum give us confidence to increase our 2016 revenue and PS outlook. Our ongoing success is due to sustained focus on our mission to improve health and improve lives and execution on our three key strategic initiatives. Being the world's leading provider of diagnostic solutions, bringing innovative medicines to patients faster and using information to change the way care is delivered. I will now update you on our progress of these strategic guide posts. First we are delivering diagnostic solutions through a combination of enhanced offerings, complementary acquisitions and technological innovation. We continue to lead an offering of cutting edge testing introducing over 75 new tests to market during the past year. We are increasingly deploying our integrated testing capabilities, industry leading science and innovative technology offerings to establish strategic partnerships with providers. Hospitals, health systems and large physician networks seek us out for our comprehensive capabilities in reference testing, supply chain management, IT and informatics, decision support and clinical trials. We're also focused on our relationship with managed care organizations, a backbone of our business. We have the strongest managed care portfolio in the industry and are proud of our deep partnerships with these clients. In addition we are increasing our focus on partnering with government and quality government payors as they take on broader roles in developing new payment structures and care models. Underpinning our core diagnostic strategy is our innovation in data integration and in tools to support enhanced connectivity, reporting and decision support. We differentiate from our competitors by providing these tools as well as the highest quality cost efficient laboratory services to help a wide array of partners as they move to more extensive management of patient health and broader sharing of risk. We complement our organic growth initiatives with carefully considered acquisitions and partnerships that drive long term profitable growth. During this quarter we invested approximately $100 million in strategic tuck in deals predominantly focused on esoteric testing such as anatomic pathology which provides critical diagnostic information in the determination of the appropriate course of cancer treatment. Looking ahead our acquisition pipeline remains robust and we see attractive opportunities to enhance our test menu and expand our geographic footprint. In addition to our revenue growth initiatives we are committed to increasing efficiency and improving the customer experience, Project LaunchPad is introducing new tools and systems to reengineer our processes as well as enhance the patient employee and customer experience. With indentified projects underway such as improving our billing system and patient service center workflow, LaunchPad will sustainably reduce costs, benefitting the long-term margins of LabCorp Diagnostics. We remain on track to deliver $150 million in net savings to the three year period ending in 2017, although LaunchPad is a finite program aimed at process reengineering, we will always have opportunities to drive shareholder value through further productivity and efficiency programs. Our culture of continuous improvement began long before LaunchPad and will remain after we achieve our stated LaunchPad goals. In its second year LaunchPad has transitioned from shorter duration initiatives to system reengineering which entails longer timelines for execution and longer term savings impact. Our second core objective is bringing innovative medicines to patients faster. We execute that objective by offering unique capabilities and solutions to solve problems for our customers. Inefficiency in the clinical trial, recruitment and startup process persist at the most significant pain-point for our biopharma customers. We are introducing solutions that no other company can replicate to address this challenge. We're commercializing the combination of LabCorp’s proprietary patient data and Covance’s proprietary informatics and investigator database, in support of enhanced study planning as well as improved clinical file placement and recruitment. During the quarter the use of LabCorp data played a key role in winning a large Phase 3 oncology study, which increased our cumulative orders from use of LabCorp data to over $190 million. We've begun to convert this backlog into revenue and remain on track to deliver $150 million in incremental revenue through 2018. In addition the number of patients that provided consent through our patient portal to be contacted about clinical trials steadily increased throughout the quarter. We believe patients will want to be part of a process that improves the speed at which cutting edge therapeutics are delivered to the market and we're exploring partnerships to expand our reach with this initiative. Overtime we believe that this database will further differentiate our studies startup and recruitment capabilities in support of better drug development. We continue to develop comprehensive solutions in key therapeutic areas, capitalizing on our unique end-to-end capabilities across all aspects of drug development. The scientific and clinical expertise that Covance Drug Development and LabCorp Diagnostics offer in combination, our combined laboratory expertise, and our ability to deliver all of our services with the highest quality and at scale put us significantly ahead of our competitors. To give you a couple of specifics, our industry leading Central Lab, a product of our combined capabilities, reported another outstanding quarter of double-digit organic revenues growth. We recently introduced automation to our Geneva central lab to improve productivity and expanded it to double capacity, allowing us to better serve the growing demand for our enhanced menu of lab testing in Europe, Africa and around the globe. Our companion diagnostics franchise continues to thrive and is another excellent example of the power of our combined offering. Companion diagnostics are growing in importance to our customers to help them secure regulatory approval, reimbursement and market adoption for their medicines in an increasingly demanding healthcare system. LabCorp and Covance uniquely offer companion diagnostic capabilities from discovery through commercialization. These capabilities include development, validation, support for in vitro diagnostic kits, ability to responsibly launch laboratory developed diagnostics, market analysis, reimbursement support, lifecycle management and timely commercialization of drugs and their companion diagnostics to our sizable base of providers and their patients. We see strong revenue growth in companion diagnostic services across many therapeutic areas including oncology, inflammation and central nervous system disorders. We remain confident that we will deliver $100 million in incremental revenue in this area through 2018 and highlight our differentiated capabilities from our competitors. For our third objective, we are changing the way care is delivered through the use of information and technology enabled solutions. In diagnostics as noted we are expanding our menu of decision support tools and integrated content to assist payors, physicians, health systems and patients, in better understanding and managing medical conditions. We also recently marked the one year anniversary of Beacon LBS's commercial launch and we're pleased with the technology’s clear financial and clinical benefits. In addition, we are seeing increased provider satisfaction with Beacon LBS’s test and lab selection functionality as well as its ease of use. We intend to add new capabilities to Beacon LBS this year and remain optimistic about its introduction in new markets. In drug development we are enhancing Covance's Accelerate suits of services to enable faster patient enrollment, more efficient site monitoring and improved study planning, Accelerate helps reduce the time and cost of trials by providing an easy to use replicable tool to improve insight into trial site performance and trail success. We will also implement new approaches to lower the patient burden and improve the patient journey through clinical trials. We recently launched the suite of mobile capabilities designed to help biopharmaceutical and technology companies, navigate the rapidly evolving mobile health landscape. Through this novel offering, we will provide regulatory consulting and validation services to help companies certify the accuracy and consistency of mobile devices and applications for use in clinical trials. Through all of this activity we have been and will be excellent stewards of capital. We have made steady progress in our commitment to delever the balance sheet and we're now at approximately 3.5 times leveraged approaching our target. We continue to deploy capital towards strategic acquisitions and expect to be in a position to return capital to shareholders in the second half of the year. By virtue of our investments in innovation, talent, science, quality, operational excellence and distinctive technology LabCorp is increasingly well positioned to profit from global opportunities across our $200 billion addressable market. I am proud of my colleagues who everyday reflect our core values of excellence, integrity, teamwork, courage, inspiration and ownership that they work tirelessly to improve the health and lives of patients around the globe. Our team's efforts are the reason for our success this quarter and they will continue to be LabCorp's greatest competitive advantage. I thank them for their great work and the results they continue to deliver. Now, I'll turn the call over to Glenn.
Glenn Eisenberg: Thank you, Dave. I'm going to start my comments with the review of our first quarter results followed by a discussion of our LabCorp Diagnostics and Covance Drug Development segments and conclude with an update on our 2016 guidance. Revenue for the quarter was $2.3 billion, an increase of 30% over last year. Covance contributed 24% year-over-year growth due to strong demand as well as the inclusion of a full quarter of results compared to a partial quarter last year. The remainder of the increase of 6% was driven by LabCorp Diagnostic’s strong organic growth and tuck-in acquisitions partially offset by currency. Gross profit for the quarter was $777 million or 33.9% of revenue, compared to 625 million or 35.3% last year. The increase in gross profit was due primarily to strong demand, productivity and acquisitions partially offset by personnel costs. The declining gross margin was primarily due to the mix impact from a full quarter of Covance results. On a pro forma basis, gross margin would have increased 50 basis points over last year. SG&A for the quarter was $412 million or 17.9% of revenue, compared to 442 million or 25% last year. Special charges in the quarter were $10 million primarily related to the integration of Covance and executive transition expenses, compared to 119 million a year ago, which were primarily related to the acquisition of Covance. Excluding special charges SG&A in the quarter was $402 million or 17.5% of revenue, compared to 322 million or 18.2%. The increase in adjusted SG&A was primarily due to acquisitions, personnel cost and bad debt while the percentage of our SG&A benefited from a full quarter of Covance's lower rate. On a pro forma basis, adjusted SG&A would have improved 10 basis points over last year. During the quarter, we recorded $19 million of restructuring charges primarily relating to the closure of redundant facilities in general integration initiatives. Amortization expense for the quarter was $44 million, up from 31 million a year ago due to the impact of acquisitions. Operating income for the quarter was $302 million or 13.2% of revenue compared to 132 million or 7.5% last year. Excluding amortization restructuring in special items of $74 million, adjusted operating income was 376 million or 16.4% of revenue compared to 302 million or 17.1% last year. The decline in margin was primarily due to the mix impact from a full quarter of Covance results. On a pro forma basis adjusted operating margin would have improved 60 basis points. Interest expense for the quarter was $55 million compared to 104 million in the first quarter of 2015, the decrease was due to non-recurring acquisition related items of $53 million reported last year partially offset by higher debt balances following the acquisition of Covance. The tax rate for the quarter was 37.3% excluding special charges and amortization, the adjusted tax rate for the quarter was 36.5% up from 35.4% last year primarily due to the geographic mix of earnings. For the full year, we continue to expect our adjusted tax rate to be comparable to last year's rate of 35.3%. Net earnings for the quarter were $160 million or $1.55 per diluted share excluding amortization restructuring and other special items, adjusted EPS were $2.02 in the quarter, up 15% from $1.76 last year. These results included a net gain in the quarter of $0.05 per diluted share on the sale of investment securities from our venture funds. During the quarter our operating cash flow was $123 million compared to negative 87 million in the first quarter of 2015. Last year cash flow was negatively impacted by $154 million of one-time charges relating to the acquisition of Covance. Excluding these charges operating cash flow was up 57 million over last year due primarily to improve earnings. Capital expenditures totaled $71 million or 3.1% of revenue, up from 34 million or 1.9% last year. Capital expenditures in the quarter were in line with typical spending levels, while last year's CapEx was low due to the delayed spending related to the acquisition and integration of Covance. As a result, free cash flow was $52 million in the first quarter, an increase from 33 million last year, excluding the nonrecurring items. At quarter end our cash balance our cash balance was $696 million compared to 716 million at the end of the 2015. Total debt was approximately $6.4 billion. During the quarter, we invested 97 million in acquisitions, and our leverage declined to 3.5 times debt to last 12 months pro forma EBITDA. Now I'll review our segment performance. For comparative purposes, segment results are presented on a pro forma basis for all periods, as if the acquisition of Covance closed on January 01, 2015, and exclude amortization, restructuring, special items and unallocated corporate expenses. Reconciliations of segment results to historically reported results are included in today's press release and the current report filed today on Form 8-K. Now I will review the performance of LabCorp Diagnostics. Revenue for the quarter was $1.6 billion, an increase of 7.2% over last year. The increase in revenue was the result of organic volume growth measured by requisitions, Beacon LBS, price mix and tuck-in acquisitions partially offset by currency. The revenue increase includes a benefit from Beacon LBS of 1% and unfavorable currency translation of 0.6%. Revenue per requisition increased 2.7%, benefiting from price mix and tuck-in acquisitions. In addition, esoteric testing revenue grew at a faster rate than core testing revenue. Total volume increased by 4%, of which organic volume was 3.4% and acquisition volume was 0.6%. Volume benefited from the impact of weather and the additional day that was partially offset by the timing of the Easter holiday. LabCorp Diagnostics’ adjusted operating income for the quarter was $310 million, or 19.5% of revenue, compared to 290 million, or 19.5%, last year. The increase in operating income was primarily due to volume, price mix and productivity, partially offset by personnel costs and bad debt. Although the operating margin was consistent with last year, it was constrained by the mix impact from Beacon LBS and an increase in the bad debt rate of approximately 25 basis points due to an increase in patient responsibility. For the remainder of the year we’d expect our bad debt rates to improve benefitting from our LaunchPad initiatives. We remain on track to deliver our 150 million LaunchPad savings goal over the three year period ending 2017. Now, I'll review the performance with Covance Drug Development. Revenue for the quarter was $703 million, an increase of 12.6% over last year. Excluding the impact from approximately 160 basis points of negative currency and the expiration of the Sanofi Site Support agreement revenue increased 17.9% over last year. The strong revenue growth was broad-based across our early development, clinical and central lab businesses. Adjusted operating income was 103 million or 14.7% of revenue compared to 74 million or 11.9% last year. The increase in operating income and margin was primarily due to demand, productivity and cost synergies. Partially offset by the expiration of the Sanofi Site Support agreement and personnel costs. We remain on track to achieve our three year 100 million cost savings goal through 2017 related to the acquisition of Covance. Net orders during the quarter were $830 million, representing a net book-to-bill of 1.18, while backlog at the end of the quarter was $6.9 billion. The trailing 12 month net book-to-bill was also 1.18. Now, I'll update our 2016 guidance, which assumes March 31st foreign exchange rates for the remainder of 2016. We expect revenue growth of 8.5 % to 10.5%, after the impact from approximately 40 basis points of negative currency. This is an increase from our prior guidance of 7.5% to 9.5% due to strong organic growth and a 60 basis point improvement in currency. We expect the LabCorp Diagnostics segment to grow 4% to 5.5% over 2015, after the impact from approximately 20 basis points of negative currency. This is an increase from our prior guidance of 3.5% to 5.5% due to organic growth and a 30 basis point improvement in currency. We expect the Covance Drug Development segment to grow 6% to 9% over 2015 pro forma revenue, after the impact from approximately 50 basis points of negative currency. This is an increase from our prior guidance of 2% to 5% due to strong organic growth and 150 basis point improvement in currency. Excluding the impact from currency and the exploration of the Sanofi Site Support agreement, we now expect net revenue to increase approximately 9% to 12%. We expect adjusted EPS of $8.55 to $8.95, which implies growth of 8% to 13% over 2015 and is an increase from our prior guidance of $8.45 to $8.85. As a remainder, our adjusted EPS guidance includes an increase in our share count due to stock compensation and often exercises but does not include any share repurchases. We expect free cash flow of $900 million to $950 million unchanged from our prior guidance. This concludes our formal remarks and we will now take questions, operator?
Operator: Thank you. [Operator Instructions] Due to time constraints we are ask you to please limit yourself to one question and one follow up if needed. And our first question comes from Robert Willoughby of Credit Suisse. Your line is now open.
Robert Willoughby: Dave and Glenn, I am wondering, why maybe not a bit more profit margin leverage on the quarter based on how well the lab volumes as low as revenues for accession trended? And then maybe a quick comment on just the deal pipeline robust is it robust for smaller kinds of tuck-ins or is the focus more on some larger transactions additive to some of your newer platforms?
Glenn Eisenberg: Okay, hi Robert. Let me ahead and this is Glenn, I’ll cover the margin question and then pass over to Dave. First of all, obviously we had good margins overall for the company, at 16.4% margins, we are up around 60 basis points year-over-year on a pro-forma basis. I know your comment was probably more directed to the diagnostic side of the business, where we maintain our 19.5% margins year-over-year. As I commented in our opening remarks, our first quarter was constrained, were not for some of those issues we would have seen margin expansion and really there are three primary reasons. The first is our Beacon LBS business which we had a full quarter this year with none last year, it annualizes actually now beginning into the second quarter, so given that most of it right now is still cash through that was a constrain on our margins. We also did have bad debt rate increase for the first time, given the high patient responsibility but again as we said we expect that rate to come down going forward through the LaunchPad initiatives. So it won't be a constraint we believe going forward. And then finally, worth noting is that with our merit increase, we did have good merit increase year-over-year that will annualize in July of this year so for the first half, we will see some constraint on the margins from that, but overall at over 7% top-line growth maintaining really strong 19.5% margins, domains our operating grew by over 7% despite those constrains. Dave?
Dave King: Thanks Glenn. Bob, on the acquisition pipeline, I would say the acquisition pipeline is robust across the broadest -- across the whole spectrum. Our focus as evidenced in the quarter is on the tuck-in strategic deals that on the diagnostic side would enhance our geographic footprint or expand our test menu and on the growth development side would provide specific areas either of therapeutic expertise or other assets that would complement our current set of offerings.
Operator: Thank you. And our next question comes from Bill Bonello of Craig-Hallum. Your line is now open.
Bill Bonello: So a particularly good looking quarter on the Covance side of the business and overall, just wondering if you would be willing to comment at all at this point with Covance onboard for more than a year now, how you are thinking about growth over the longer period of time? Do you think you can be a sustainable 10% plus EPS grower or do have any kind of internal objectives anything that you can give a color on that front would be great?
Dave King: Good morning Bill it is Dave, thanks for the comments. I think we have a sense of where we think long term revenue growth should be and that’s with the diagnostics business kind of low to mid single-digits and with the Covance business mid to higher single-digits consistently overtime. How that translates to EPS obviously is a function of capital deployment and some other things, so I think you can expect us this year to set some aspirational targets for EPS growth overtime. I think if you look back historically obviously before the major reimbursement cuts of '13 and '14, we had a very nice I believe it was a five year EPS CGAR of 13 plus percent and we had a couple of years of flat to declining EPS simply because of declining pricing and the cuts attended to that. But I think it's an excellent question and as I said I think you can expect us during this year to set out some long term EPS growth expectations that we expect to achieve overtime as these businesses are fully integrated.
Operator: Thank you. And our next question comes from Lisa Gill of JPMorgan. Your line is now open.
Lisa Gill: Dave, can I just follow up on a couple of your comments that you made, just first when you think about the acquisition strategy and you think about how well Covance is doing right now. Can you maybe just give us a little more color as to how we think about the acquisition strategy there, you talked about tuck in more on the diagnostic side but on the drug development side is there areas that you feel that you need to really truly compete in the market and as we think about the better results in the quarter was there something specific that drove that versus your original expectations?
Dave King: In terms of the acquisition strategy specifically for the drug development business what I would say is, there is -- I divide it into two parts. The first part is just continuing to look at for right now the tuck ins and the things that are additive to particular parts of the business that we would like to expand so therapeutic expertise, market access, the areas where we feel that there is an interesting opportunity to either expand capabilities or enhance capabilities with things that would be additive to the overall end to end capabilities of the business. Overtime as we've said, we feel that we need to be larger in the clinical business and some of that will come from organic growth and the initiatives that we have underway and therapeutic expertise and integration with LabCorp Diagnostics. But it's my expectation that some of that will also come from acquisition. I would say that now our focus is not on another sizeable deal, our focus is on complementary capabilities that are additive to what we have. Although obviously we evaluate a lot of things and we're going to look at anything that looks like the right opportunity for us given price multiples and longer term return on invested capital. So that's how I would summarize the acquisition strategy around the Covance business. In terms of the performance it's hard to single out any particular area because they all did so well, the business is kicking along extremely well, Deb is doing a great job as CEO and on top of that the leadership moves that she has made have created terrific stability and a sense of purpose in the organization and so I complement everybody at Covance from early development and pre-clinical all the way through clinical for a very strong performance in the quarter just as I complement everybody on the diagnostic side from bottommost to senior executive for a very strong performance there, we just did really, we really executed well on the strategic initiatives and we performed well operationally in the quarter.
Lisa Gill: I would agree congratulations on that nice quarter.
Operator: Thank you. And our next question comes from Jack Meehan of Barclays. Your line is now open.
Jack Meehan: I wanted to start with the strength at Covance, I caught some of Glenn’s commentary around Central Lab but I was curious if you stacked up early development and late stage how they fared relative to that or if they were really close in terms of the growth rates in the quarter?
Deborah Keller: Good morning, this is Deb. So I can give you a little more color on that. Early development as Dave said had another strong quarter and the market's been recovering over the past 18 to 24 months and our demand remains strong, utilization in the market is tightening which results in slight price increases, and it has in the last six quarters, so we continue to manage our capacity very efficiently and effectively. As far as Central Labs, we've had fantastic growth, we've had stronger volume and strong demand that's been fuelled by the breadth of assays that we have because of the combination of core end and Covance. We've also seen a nice conversion of the studies that we have in Central Labs, so that's been driving volume. In clinical trials as they get more and more complex the number of esoteric assays are increasing and that allows us to be a one stop shop for our customers, which they tend to value that. When you look at clinical this is the largest market that we serve and one of the largest opportunities that we have for growth, both for Covance as well as for the combined entity. We had strong results this quarter and you know we continue to invest in talent and tools. In January we added a new sales leader who was previously the head of sales for both Central Labs and early development and then as you know we recently announced that Jonathan Zung has joined, and he brings a wealth of experience in clinical development as well as his perspective from the voice of the client. So these hires, plus our investment in informatics as Dave had talked about earlier and the combined data is going to allow us to address our client's biggest pain points, which is decreasing the time for study start ups, identifying patients and sites. So we're very pleased with the results this quarter.
Jack Meehan: And then maybe just one more on personnel cost, it was mentioned a few times in the prepared remarks, just an area of modest pressure. I was wondering if that was anything incremental that you are seeing and then just what the outlook is for the rest of the year? Thank you.
Glenn Eisenberg: Jack, this is Glenn. On the personnel costs, I think we spoke to just obviously the growth of the business and the people, obviously, that are needed to support the growth. But we also have the additive part of the higher merit that we provided last year, reflective of the performance of the company that will annualize in July, but more just normal growth in the business supporting the higher growth in our personnel costs.
Operator: Thank you. And our next question comes from Ross Muken of Evercore ISI. Your line is now open.
Ross Muken: You highlighted the momentum that has been building on the cross-sell opportunity with utilizing the data sets to continue to drive really nice net orders at Covance. I guess if you think about companies that do things that are outside the norm and are groundbreaking, it usually takes some time and network effect amongst the customers to gain momentum. How do you feel like that translated into conversations that are going on amongst your different customer base and understanding the value prop and how you are differentiated and how that can lead to improved either enrollment times or patient quality or what have you in terms of them really starting to understand and see some references to where you are having maybe a different effect and a point of differentiation versus your competitors?
Dave King: Ross, this is Dave. I will start and then ask Deb if she has any further comments. I can tell you from my direct interactions with senior executives at the biopharma companies, I mean they instinctively understand the value of the data -- and of the LabCorp data and the patient data and the patient engagement and intimacy that we bring. As we said, the number one pain point in terms of getting trials started is finding sites, finding good investigators and particularly finding patients, and you look at the statistics most trials are under enrolled. A large majority of trial sites never enroll a patient. Oncology trials, in particular, suffer from a lack of patient enrollment, which makes it hard to get the drugs approved and brought to market. So, my experience has been this is readily understood. It is something that our customers are very enthusiastic about, and we have a lot of demand, not only for help us find patients for traditional trials, but also help us find patients for observational studies help us create a database of patients for registry studies. I think this is just a terrific and unique tool.
Deborah Keller: Yes, the only other thing that I would add Ross, as you know, I think this combination has allowed us to change the conversation with clients, I spend quite a bit of time on the road meeting with clients and they are very interested about, the different capabilities and solutions that are unique to Covance and LabCorp and I think the clients have -- I think if you look at some of the research that's been out there, they feel that we're making the right investments to meet not only their needs today, but their needs as clinical trials transform.
Operator: Thank you. And our next question is comes from Amanda Murphy of William Blair. Your line is now open.
Amanda Murphy: I actually just had a follow-up to Ross's question. So, it seems like in terms of the consent database that that is quite a valuable asset and probably quite difficult to replicate without having the diagnostic piece. But it also seems like that's a U.S. focused asset. So can you just talk through how the combined LabCorp is working to leverage the incremental patient data that you have outside of the U.S. to deliver value to pharma?
Dave King: Yes, Amanda, good morning. It is Dave. Obviously, part of the challenge there, particularly in Europe, is the privacy regulations are much, much more complicated. So, we are working with partners to expand capabilities beyond the U.S. database, as well as to expand engagement within the U.S. database to other patient sets, and we will continue to explore that as a way to make this an even more global tool.
Deborah Keller: Amanda the only other thing I'd add is still a majority of the clinical trials are done in the United States, so it does give us an advantage for our clients.
Amanda Murphy: And then just on Beacon, also curious about your perspective longer-term in terms of expanding to additional payors and then also shifting the pricing model away from pass-through to maybe incorporate in some fashion the value-add that you are providing? Just was looking for your thoughts longer-term there?
Dave King: Yes, I think the first thing to remember about Beacon is this is something that was invented. I mean literally invented and built by the Beacon team. They have done a fantastic job bringing the vision to market, and I think we should be -- we should understand and appreciate how hard it is to start something like this up from scratch, build it, build the software tools, get client adoption. So, we're thrilled with where Beacon is today. And I think it's very important as we continue to build additional tools like genetic and molecular capabilities, further decision-support tools for physicians that we expand the scope of Beacon to include more capabilities. I remain very optimistic that there will be additional market opportunities for Beacon, and my hope is that we will have some positive developments on that in the year. And the other thing I would say in terms of the profitability is I do expect Beacon to be profitable in the nearer term as opposed to just pass through, however recognizing that it will not be as profitable ever as the core business because it is just a business of a different nature.
Operator: Thank you. And our next question comes from Nicholas Jansen of Raymond James. Your line is now open.
Nicholas Jansen: Just wanted to get a better sense of the Covance revenue synergies, I think you mentioned over 190 million orders as it pertains to that $150 million bucket that you previously communicated. So, what does that order translate into revenue dollars, so we get a better sense of where we are on that front, and sitting here 12 months post transaction, how comfortable are you with the other phases of the revenue synergies? We haven't heard too many specific updates on the other pieces? Thanks.
Dave King: Good morning Nick. It's Dave. So, obviously the rate at which the orders translate to revenue depends on the progress with the pharma companies in terms of when they reach finality on what they want the drug to be developed and what the study parameters look like. So, that's probably a 12 to 18 month timeframe to actually get those orders translating into revenue, and we don't intend to update the dollars that are translating into revenue. We will just keep you advised, not specific order by order, but generally against the 150 target. On the 100 million that we talked about for companion diagnostics, I mean I think we have been very clear that we have done extremely well, and I think we in all likelihood, if I had to handicap it now, I think we will exceed that 100 million over the three-year period, just because that business has been thriving with the combined tools, and I commented on that I think at some length in the prepared remarks. I think on what we had identified as the last 50 million, which is the real-world evidence that is probably a longer-term impact just because of the number of areas in which real-world evidence is likely to be applicable. But net-net I feel very confident that what we identified as the 300 million in revenue synergies by 2018 will be accomplished.
Nicholas Jansen: And then just on the and maybe Glenn on the bad debt side, we've seen your peer also callout bad debt from an acceleration from a year-over-year perspective and I know you guys are working hard on LaunchPad to kind of offset some of that, but just maybe going to what we're seeing from a patient collectability front and how we should be thinking about bad debt over the next 12 to 18 months? Thank you.
Glenn Eisenberg: Again some of that is just seasonal, we always see our higher bad debt raise in the first quarter and then taper off throughout the rest of the year, but what was unique for this first quarter was that on a year-over-year basis instead of seeing the progress that we have been experiencing we actually saw the rate go up for the first times, and so similar to again an industry issue where we have higher patient responsibility, higher deductible plans earlier on in the year. As we look going forward while it is still expected to be a challenge. We do expect the rate to come down, we think it will be more comparable with what we experienced year-over-year. So we don't expect it to be a overall constrain on the margins, but driven by the success that we're experiencing on our LaunchPad initiatives that will only continue to accrue favorably going forward so initial in the quarter don't expect it to be one going forward but were not for the LaunchPad could be.
Dave King: And Nick it is Dave just to add a little color to that, obviously we are seeing more and more patients in high deductible plans whether through exchanges or through commercial and employer plans. So more patients in high deductibles plans means more dollars out of pocket before there is any insurance payment whatsoever. What that means is with higher deductibles higher patient responsibility at the onset of the year and then we're also seeing plans with higher co-pays and with a greater incidence of non-covered services, so between those three factors you're seeing more dollars of exposure flowing to patient and although our patient collection rate is generally very good, it's still has more dollars for the patients just puts more pressure on collecting overall, in that overall components. And as Glenn said some upward movement in the quarter but we still feel confident that for the year we will be in the same range as we were last year.
Operator: Thank you. [Operator Instructions] And our next question comes from Will Quirk of Piper Jaffray. Your line is now open.
Will Quirk: First question here, on Beacon, Dave, as we think about the expansion of the program, do you think that we're going to end up going through trialing periods as this expands beyond Florida, or do you think that you can take all of the experiences learned from the initial rollout and the trialing program there and put a full program in force when you expand it?
Dave King: I think Beacon is readily scalable, and I think there have been some very good lessons learned for us in Florida, as there always is when you do something new. So, I don't anticipate a lot of difficulty in scaling the program to new markets or two new payers. Remember, it is a soft -- it is basically a software tool, and so the whole idea of Beacon was build one and use many times not have to build a bunch of customizable solutions, and I think we have done a very nice job achieving that.
Will Quirk: And then as a follow up. Just thinking a little about a couple of the macro topics obviously a lot has been said about the FDA regulation of LDTs but can you talk a little bit about kind of twisting this a little bit there might be a potential opportunity here for Covance have you guys thought about that and if so is there any way to size that potential market? Thanks.
Dave King: Well I think I guess I would say as we think about FDA regulation of LDTs, our position has been pretty clear. There may be some opportunity for Covance there although again remember that in companion diagnostics development we have supported both LDT launches and kits depending on the preference of the pharmaceutical partner and the, what they want the outcome to be so I don’t think of it as, I think of it as there is a very large incremental market for companion diagnostics but I don’t know that that would translate into LDTs versus I wouldn’t break it down LDTs versus kits, I would just think about it as what is the global companion diagnostics opportunity look like as we know that's very, very robust.
Operator: Thank you. And our next question comes from Ricky Goldwasser of Morgan Stanley. Your line is now open.
Ricky Goldwasser: I have two follow-up questions. One, on the volume side, in the prepared remarks, you talked about 3.4% increase in organic volume with some moving parts around the weather and leap year and obviously Easter. So, can you help just quantify for us what were organic volume excluding those moving parts?
Glenn Eisenberg: Hi, Ricky this is Glenn. That's right. From an organic volume standpoint, the 3.4% included the net benefits of those three items that we would say would be roughly call it, 1.5% to 2% benefit out of that 3.4%.
Ricky Goldwasser: So where should we kind of expect seeing volume continue to be in line with what they were last year on an organic basis it seemed so?
Glenn Eisenberg: That is right.
Ricky Goldwasser: Okay. So, then my next just follow-up relates to Covance. So, it seems that Covance's margin has expanded nicely by about 280 basis points in the quarter on a year-over-year basis. So, how does that 14.7% margin for Covance compare to your internal goals, and what is your long-term margin target for the segment?
Glenn Eisenberg: Ricky, this is Glenn. I will start and Deb may want to provide some color as well. But obviously first 200 we would say it was up 280, so we want to give them full credit for a very strong quarter in margin improvement, driven off of obviously a very strong top-line growth for the Company. There is seasonality in the rate, so we would always expect the first quarter rate for the segment to be low in the first quarter and then pick up for the year. So, from our perspective, it is continued growth in margin year over year. Given the strong demand, given the productivity, given the synergies that we are still capturing, we do expect another strong margin improvement year, and I would be remiss if Deb didn't come back and say her expectation is always to continue to drive those margins going forward. But, Deb, you may want to add some color.
Deborah Keller: Yes the only color I would add Ricky is that we had strong growth in both central labs and early development demand and both of those had nice drop through on an incremental and they were the biggest driver of our OM expansion in that coupled with our cost synergies and usually first quarter tends to be a softer quarter but we did well. So we continue to expect the full year margins to improve.
Ricky Goldwasser: So, was there any pull forward in the quarter, or should we just expect the business for the remainder of the year to continue at kind of that pace?
Dave King: There is nothing pull forward, Ricky. The synergy plan is obviously clearly laid out internally, and we didn't pull anything forward.
Operator: Thank you. And our next question comes from Isaac Ro of Goldman Sachs. Your line is now open.
Isaac Ro : A question on free cash flow, you guys raised guidance for revenue and EPS, and I was wondering if you could maybe break down some of the key moving parts that would explain why the free cash guidance is not also going up?
Glenn Eisenberg: Hi, Isaac this is Glenn. First, obviously, the guidance we have maintained at the call it 900 million to 950 million. When you look at the improvement in the earnings-per-share guidance, which we have taken up to $0.10, we commented around $0.05 of that was from the gain on the sale of securities from our venture fund. While we did pick up plus or minus around 15 million in cash from the sale of those securities, that does not show up in free cash flow. It is below the operating line, so that cash would not be included. So, it's really just the operating improvement impacting EPS that would be cash related. Given where we are in the year and we have a 50 million spread between the 900 million and 950 million and the fact that the first quarter is seasonally low -- we did around 52 million of our free cash versus our 900 million plus for the year -- we felt it appropriate to maintain the current level of our guidance, and then obviously after the second quarter with six months remaining, we will go ahead and revisit it.
Isaac Ro: And then a follow up on the onetime gains, can you maybe walk us through the process that you typically go through to determine when you monetize those investments and to what extent might we want to keep in mind the possibility for more of that come this year? Thank you.
Dave King: Isaac it is Dave we have a funded mix venture investments and those investments are typically in areas that we think are of either long term opportunity or things we would like to know more about or things that might be additive to our business or disruptive to our business. And any time, so for example, one of our earlier investments went public. We are not in the business of owning public -- shares in public company and so with at that point we made the decision to monetize it. We look at our return, the continued value of our investment over the long term whether we are being asked to invest more at a time that we choose to monetize and each one on a case-by-case business we make a determination of what makes sense. So there is no way to predict when these events will occur and periodically we have some losers as well as some winners and that is something we can really build into any model.
Operator: Thank you. And our next question comes from Whit Mayo of Robert Baird. Your line is now open.
Whit Mayo: I have really just got one question. I just wanted to go back to the Covance cost synergies. Just curious where you are finding most of the opportunities? Is this mostly procurement savings and whether or not you have consolidated anything on the central lab at this point and if that is an opportunity going forward?
Glenn Eisenberg: We have consolidated the Singapore central labs, and we're in the process obviously of evaluating other appropriate facility consolidations. Some of the savings this quarter come from consolidation of data centers of Covance data centers into LabCorp capabilities. I think it is very broadly based across public company costs, procurement costs, personnel costs, duplicative capabilities that can be streamlined. So, there isn't any single area to point out, other than to say that we continue to evaluate not only the Covance business, but the integrated businesses and the corporate infrastructure to identify additional opportunities.
Operator: Thank you. And ladies and gentleman due to time constrains, we do ask that you please limit yourself to a one question at this time. And our next question comes from Gary Lieberman of Wells Fargo. Your line is now open.
Ryan Halsted: This is Ryan Halsted in for Gary. Just my one question, on the revenue guidance update, excluding the currency impact, Covance revenue guidance is for about -- increased by 250 basis points. I was wondering if you could call out where you expect to see the majority of that growth, is it primarily from the central lab, or how should we think about that? Thanks.
Glenn Eisenberg: Hi Ryan, this is Glenn. I will at least start with the comment that -- and I think it was alluded to in opening remarks as well -- that we have been very pleased with the broad-based view of how Covance is performing across all the major business lines. When you look at the implied guidance for the rest of the year that are, call it, around 6% growth, we believe it is broad based and consistent with what Dave categorized before as normal, call it, historical growth within the segment.
Dave King: And it is Dave. We're not going to provide revenue guidance by segment within segment, so I agree with Glenn. Think of it as just -- it is broad based across the entire business.
Operator: Thank you. And our next question comes from A.J. Rice of UBS. Your line is now open.
A.J. Rice: Just two pricing-related questions, if I've got my calculation right, your revenue per requisition in the quarter stepped up from the fourth-quarter rate to about 50 basis points to 2.7% year to year. Is that mix, or is there underlying price trend and how much you factor that into the updated guidance? And then I guess longer-term pricing, any update on the clinical lab fee schedule reset and your discussions with CMS and Congress?
Glenn Eisenberg: Hi A.J., I will start with just the price mix comment. It is primarily mix related. Obviously, we benefited from acquisitions that have mixed us up. Plus, we talked about in the mix within our test group. Pricing has been relatively stable, which is a positive. We also do have some LaunchPad initiatives that are targeted to the pricing side, but overall we would say that the increase that you saw within the price mix is primarily mix related.
Dave King: And A.J., it is Dave. On PAMA, as you probably saw this week, the -- a notice was filed in the Federal Register indicating that the final rule has gone over to OMB for review. So there obviously has been a step forward by CMS. We don't have insight into what is in the final rule, but hopefully it has addressed a couple of the major issues with the definition of applicable labs and some of the other things that we highlighted. We continue to work with CMS and obviously with all of the constituencies in Congress on both the definitional and the timeline for implementation and, again, highlight the letter from Senator Hatch and Senator Wyden, as well as the letter from 26, I believe, members of the House and other members of the Senate, indicating that a January 2017 implementation date was -- is not practical. We fully agree with that, and we hope and expect that CMS will be taking a practical and reasonable approach.
Operator: Thank you. And our next question comes from Brian Tanquilut of Jefferies. Your line is now open.
Brian Tanquilut: Glenn, just really quick on G&A, it ticked up quite a bit sequentially. How should we think about that over the course of the year?
Glenn Eisenberg: Just to your point, it is obviously going to fluctuate quarter to quarter, but as you think about it for the full year, we do expect to see leverage from G&A. We benefited on a pro forma basis year over year, even in the first quarter, but fairly nominally. So we did see a tick-up in unallocated corporate expenses, which was one of the constraints, if you will. But as we target, call it, the roughly 1.5% of our revenues for that category, we were high for the quarter, but for the full year, we expect to be at that, call it, plus or minus 1.5% level.
Operator: Thank you. And our next question comes from Donald Hooker of KeyBanc. Your line is now open.
Donald Hooker: Maybe just one general question while we have Deb here. When you look at -- when you talk about mobile devices in clinical trials and regulatory issues around that, where exactly are we in using -- broadly speaking, using that mobile devices in different ways in clinical trials and maybe one or two areas where you think would be the biggest source of upside using these Internet-enabled mobile devices?
Deborah Keller: Well, that's a very broad question, so I'll give you a couple of specific answers. One, they're used in clinical trials mainly around patient centricity making it easier for a patient to participate and adhere to the protocol and to do some monitoring but right now what we're working with clients is to develop that because the data has to come in from these different devices and then be put into a system which then could potentially go into a filing, so that's what we're working on, on validating for our clients. So there are a lot of opportunities but I would say the first priority is probably around patient centricity.
Dave King: And it's Dave, I fully agree with Deb, I think also as we think about the mobile suite that we launched one of the critical components is to make sure that the devices that are being used are validated and accurate because there's nothing worse than patients using mobile devices and providing information obviously that's either not validated or that varies from device to device. So that's going to be an important component of use of mobile devices in clinical trials as we go forward and we're pleased that we have the launch the tools to be able to help our clients with that.
Deborah Keller: It's a nice adjacency to our core competency of clinical trials, and we do so many validations so we have the regulatory expertise to solve the validation experience, so it's been a nice offering for us.
Operator: Thank you. And our next question comes from Mark Massaro of Canaccord. Your line is now open.
Mark Massaro: A question for Dave, how do you prioritize M&A between diagnostic and drug developments? And then more specifically, as you think about your core diagnostics business, recently you had a deal in the women's health space, but again how do you prioritize women's health over oncology or NGS? And then maybe a final comment on multiples would be great. Thanks.
Dave King: Well, we have a rigorous process for looking at acquisitions, and it doesn't center on whether it is a diagnostics or a drug development acquisition. It centers on, first of all, does it fit one of our three strategic priorities, which is we have talked about is being the world's leading provider of diagnostic solutions, number one; number two, bringing novel medicines to patients faster; and number three, using technology and tools to transform the way that care is delivered? So, anything we do has to fit within those three basic parameters. The next thing we look at is, does it enhance our capabilities in a meaningful way, whether those are existing capabilities, whether they are add-on capabilities that we need to be better at the business. And then is it -- or geographic capabilities. So, it could be footprint. It could be test menu. It could be incremental capabilities that support one or the other of the businesses. Then we look at price, multiples, return on invested capital, IRR, discounted cash flows, all the basic acquisition metrics. And, so, the question what are we prioritizing, the nice thing about our position now is that there are many, many opportunities to deploy capital towards acquisitions, and yet our businesses are performing extremely well. And so there is no major gap that we need to fill. And, so, I don't think I can answer the question, what is the highest priority. The highest priority is high value high return deals that are going to fit our strategic framework.
Operator: Thank you. And that concludes our question-and-answer session for today. I'd like to turn the conference back over to Mr. King for closing remarks.
Dave King: Thank you, all. As you're aware, Jay Boyle recently retired as Executive Vice President and CEO of LabCorp Diagnostics. I'd like to say a few words in appreciation of Jay's many contributions to LabCorp’s successes over the past decade. I've known and worked with Jay for more than 15 years, he has been an exceptional lawyer and colleague but also a trusted advisor. Jay served with great distinction in all of his roles at LabCorp including legal, managed care Chief Operating Officer, and most recently CEO of LabCorp Diagnostics, among Jay's many achievements was his instrumental role in negotiating our industry changing contract with United Healthcare which was a critical step for us in becoming the largest laboratory company in the world. Under Jay's steady leadership LabCorp executed brilliantly on our strategic priorities of growing the business, establishing deeper partnerships with managed care and improving customer service. As outstanding and executive as he has been Jay is at the same time an exceptional person, there are legions of LabCorp employees including, who have benefited from Jay's vice council, his extraordinary generosity and his big heart, on behalf of all of our 50,000 employees around the globe, I'd like to thank Jay for his contributions to LabCorp and wish him well on his retirement. And with that we thank you for joining our call this morning and wish you a great day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program, and you may now disconnect. Have a great day, everyone.